Jesper Hatletveit: Good morning, and welcome to the First Quarter Presentation of Norwegian Air Shuttle. My name is Jesper Hatletveit, and I am the VP of Investor Relations here at Norwegian. Today's presentation will be held by our CEO, Geir Karlsen and our CFO, Hans-Jorgen Wibstad. It'll be followed by Q&A from the audience and the web. Please go ahead, Geir.
Geir Karlsen: Thank you. Good morning, everyone and also good morning to the guys listening in. I think first of all we are very happy that we are now out of the so-called low season and we're now heading in full speed into what will hopefully be a new record summer season for Norwegian. But let's have a look at the first quarter of 2024. And ended with NOK 763 million loss on EBIT. We are never happy with a loss in Norwegian, but it is the low season and it is I think it is an expected loss. If you look a couple of months back maybe two, three months back we were actually expecting a higher loss than what we ended up with which means that the market, the demand has been actually better than what we anticipated. We have a significant higher capacity in the market this quarter compared to last year. The revenues are up by 55% compared to the same quarter last year. We are keeping a very comfortable cash position. Very happy to see that the cash position has actually increased through the quarter. So we are at the end of the quarter at NOK 10.4 billion. Today the cash position is higher than that. We are continuing to push on the cost side of the business. I'll get back to that in much more detail. 340 routes more than 100 routes in Wideroe. So we are expanding the network as we have been promising. We are doing very well in my opinion operationally we can always do better we are doing very well. And I will also get back to that. We have also updated or upgraded the visual profile of the company including a new logo. This is in kind of the way we are doing it in the Norwegian in a very efficient and cost efficient way. And this will then be implemented throughout the company over a period of time. Very happy to conclude the Wideroe transaction. We joined forces with Wideroe in January. I have to say Wideroe is a great company led by Stein Nilsen sitting here. And I'm very, very optimistic on the way forward together with Wideroe and what we will do together. So this is the first quarter that we are together with Wideroe. The ramp up for the summer season has been going on for quite a while. It has been going well. We have been onboarding 650 new colleagues into the company. It has been a massive demand of people that want to work for Norwegian. And this year the ramp up has taken place earlier than last year which means that most of the costs associated with the ramp up is included in the first quarter.That was more in the second quarter last year so if you're doing the comparisons. And then on the fleet side I'll get back to it in more detail that's a concern. The delays in deliveries from Boeing. But we have measures to mitigate that as I will go through. We are continuing to push on the corporate markets. We are double-digit growth growing both on revenues and on passengers. Very promising to see. The defense contract started up February 1. It's also according to plan slightly better actually. And also on the corporate side we think it's exciting to see then that more than 40% of the passengers traveling with Wideroe is actually corporate travelers. So it also helps kind of the corporate value proposition that we have been working on for a while. Looking at some numbers. Close to five million passengers in the quarter. Load factor up 4% both in Norwegian and in Wideroe compared to the same quarter last year. We have been increasing the capacity. We have 15 aircraft more in the first quarter this year compared to last year. So 87 in 2024 against 72 aircraft in 2023. But we are only increasing the capacity in the quarter with 3%. That means that we have reduced the capacity seasonality wise, even more in 2024 compared to 2023. So in periods in the first quarter of this year, we had a 40% capacity reduction compared to what we were flying back in the third quarter of 2023. Punctuality, extremely important. We are doing well on time. We have had a tough winter actually especially, January half, February where we were struggling because of all the weather issues that we have in this region. In March, when we are getting back to a more spring type of climate, we are up at the level where we need to be, at 85% to 87% as a minimum. We have always tried to push for higher numbers. But now, we are back on the list top five in Europe, top three if you look at all the global low-cost carriers. So, this is extremely important for Norwegian going forward. And it is also very positive for of course, for all the passengers that are flying with us. Looking at this one and it shows again, the seasonality that we are having in Norwegian. And you can see that we are taking down capacity from October 2023 throughout the winter. And now, we are into a ramp up position again. If you look at the first quarter, we are 17% up on RASK compared to last year. But, we had the Easter in March this year. Ideally, we would like to have Easter in April, every year. We know that that's not possible, but it's better for the airline. That also means that you will probably see a softer April in 2024 compared to last year, because of the Easter effect. The ramp up is as I said, really going on. Looking at the February seats for sale compared to April, we have put close to one million seats into the market over the last two months. So, we are now ready and really heading into a summer season that is looking promising. As I said, regularity close to 100%. Again, we have a customer promise that the network that we have for sale, will be flown and we are all the way up there on punctuality as well. This shows, how you will see us flexing between the seasons. We have done quite well in my opinion in the last two years, and we will do the same thing going forward in order then to minimize the losses, in low season and then full speed ahead into the summer season. If you look ahead a little bit on bookings, on the left side, you can see the seven-day rolling sales. It came up over New Year, as you can see, and it has been keeping on that level throughout the first quarter. And then also into the start of the second quarter. Looking at the bookings, it's very diversified. It's booking all over the -- bookings all over the network, all over the months, the summer months first of all from May to August, September. We have also as you have probably seen been opening up new bases throughout the network. We're opening up a base in Riga, in Latvia. And this is kind of the first base where we have actually touched destinations outside of the Nordics. So, this is the first kind of first move outside of the Nordics, since the pandemic. The bookings out of Latvia to Montenegro and to Greece, is looking comfortable good into the summer. We have also opened up a route from Germany to Spain, also taken care of by our Spanish bases also looking very promising. And most likely as we see today, something that we will be able to build on, going forward. Looking at the growth that we are putting into the market in 2024, we are growing on all segments that means beach, city and domestic. And we are also growing in all the four Nordic countries. Percentage-wise, we are growing mostly in Denmark this year, but we are also growing in the other three Nordic countries, which is promising because we are growing out of a situation where we are profitable, on all four Nordic countries. Now, we can start to build on that for the months and years to come. Capacity-wise, we are up 15% if you look at May through August compared to last year. We have a load factor today very much in line with the same situation last year. That means that we have been selling between 300,000 and 350,000 tickets more as per today compared to the same time last year. On the yield side, we are saying low single-digit increase from the record summer that we had last year in 2023. On the revenue side, we have passed as you can see on the right-hand side here we have passed. This is comparable networks also back to 2019. So we have passed the 2019 line, which we should do by the way. But it's showing a very promising development into what seems to be another good summer for the company. I will get back to more details looking ahead or looking forward a little bit later. Jorgen?
Hans-Jorgen Wibstad: Thank you Geir. And good morning, everyone. I will as usual go through some -- deep dive into some numbers for the first quarter. We're very happy to see that the unit revenue was increasing from the first quarter of last year to the first quarter of this year from 0.63 to 0.73. It's a very significant increase of 17%. And you've seen that also in the traffic figures. So that's a strong improvement. We're also seeing luckily or fortunately also that the ancillary revenues are coming up quite nicely from last year from NOK158 to NOK173 per passenger. On the RPK, it's interesting to note of course that it's coming down from the fourth quarter, but at the same time despite an ASK increase of only 3% we are actually increasing the RPK by 8% driven by a higher load factor, which as Geir says has been a key item for the improvement in our financial results. Also very happy to see on the column below there that the EBITDAR has a significant increase and then we're taking out actually the other losses and gains, which is a balance sheet adjustment to our working capital positions, which accounted NOK426 million. So as you can see it's not directly related to our operating performance. And that actually goes from a minus NOK124 million to a plus NOK427 million, which is a significant NOK551 million improvement from the level of 2023. Of course that includes Wideroe, which plays into that. So it's good to both look at the EBITDAR, but also look at the EBIT because that then of course takes brings in the depreciation and other elements from Wideroe. CASK is at NOK0.61. As mentioned we are on plan with our cost program and our cost expectations for 2024 as we will come back to in a minute our guidance is kept at the same level, but it's slightly up from the level of Q1 2023. And that's driven by a couple of things and I'll come back to that. But it's partially also driven by the fact that our business has grown, but we're keeping the capacity down, which is good for the bottom line but it obviously has an impact on the CASK. But we're happy with that level and it's spot-on with our plans. Balance sheet as mentioned, robust balance sheet. We're seeing that the cash goes up by about NOK1 billion during the quarter, a little less than NOK1 billion and that is despite us having paid NOK1 billion as consideration for Wideroe and for those that. Of course you will remember that the whole Wideroe business was paid in cash. So we're happy with that. And that's partially driven by good pre-sale or sales activities during the first quarter, which is really driving that. And I will come back to that also in a minute to show you the transition from NOK9.5 billion to NOK10.4 billion. A little bit more of a deep dive into the revenue development. And it's really nice to see that we're having actually a revenue increase from quarter-to-quarter as Geir mentioned of 55%. That's quite a significant number. But it's partially driven, of course, by our own revenue growth but it's also driven, of course, by the inclusion of Wideroe. And it's also important to note that Wideroe while Norwegian has significant seasonal fluctuation Wideroe also has significant seasonal fluctuation but less so. They have a more stable business model and less variability in the revenues than what is the case for Norwegian. Very happy to see that then the revenue increase for Norwegian alone is 17%, which is a strong number. And it's driven by really the three main factors that is driving our business and -- or the improvement in our business, one, what's bringing a smallest contribution is the increase in the ASK which is quite limited, which adds NOK 107 million. The yield improvement is NOK 451 million, and that's a significant number and that's driven of course by just as I mentioned earlier an improvement in our yield of about NOK 0.09 comparing the quarter. So that's a significant improvement. The other factor is as mentioned the load factor and being able to keep the load factor as high as we have during the low season has been a key factor for the improvement. So that's contributing NOK 209 million. And then we have a net effect on the other revenue which -- on the Norwegian side, which is impacted by the cash point and that's actually less void of the cash point, which kind of -- there was we had quite a bit of during 2023 and 2022 because of the COVID cash point and that's not impacting the revenue this quarter. And then EBITDAR is contributing nearly NOK 1.5 billion. Also, a further deep dive to understand the EBIT development. Very nice to see kind of the revenue, which we run through there contributing NOK 679 million. Then we have a fuel impact, which is mostly driven by lower fuel prices compared with the same quarter last year. Partially offset by a somewhat higher US dollar rate. But overall, a net positive impact on the fuel. Then we have the operating expenses which is -- which has a negative impact of NOK 312 million. About half of that relates to the ramp-up cost related to the ramp-up of the crew. As I said we're having a kind of a bigger business at the same time as we're keeping capacity down. So about half of the NOK 312 million is related to training of crew for hopefully what will be a strong summer season. And the remaining part is about 20% is related to FX and also kind of general inflationary level. But as mentioned earlier, we'll keep holding on to our cost guidance and we're right on target when it comes to our CASK plans for 2024. Then we have the other losses and gains that I mentioned that has -- that is impacting our result relative to Q1 2023 with NOK 98 million. And then of course, as we are building our business, we have higher depreciation and also the depreciation is impacted by higher US dollar rate as these are US dollar-denominated figures. And then lastly, Wideroe as I said more stable business. We are very optimistic about their performance for the year. That is looking good. But actually, as with Norwegian a loss in Q1, but a moderate loss of only NOK 23 million, which is really also a signal that it's a more kind of stable situation or stable less seasonality in Wideroe than what is the case in Norwegian. So these are kind of the total group figures on the P&L side. Strong operating revenue increase NOK 55 million [ph]. The EBITDAR plus NOK 551 million. And then we have the operating result which is NOK 154 million after the other losses and gains. And then at the bottom line, we have NOK 904 million versus last year of NOK 993 million. So that's then of course including the figures from Wideroe. One thing to note, which is maybe a bit technical, but on the net financial items there is about NOK 25 million also which is negative FX impact from the Wideroe-denominated debt in US dollar. So that is kind of also an impact of the weakening of the Norwegian kroner. A few words on the balance sheet. Very happy to see that we are -- the cash balance is growing as expected. The inclusion of Wideroe is there as well. We're seeing that the aircraft settlement liability is increasing nicely and it's driven by the good presales. The equity ratio is kind of seasonally down from 18.9% to 14.3%, but it's still a very robust balance sheet situation. On the net interest-bearing debt, we're seeing that that is changing quite a bit. Of course the cash is improving, which is good, but also the aircraft financing is increasing by NOK2.2 billion. Out of the NOK2.2 billion about NOK1.5 billion of that is related to Wideroe and the remaining part is for the most part revaluation of our loan in U.S. dollars. So, -- but still a very manageable situation for the business. We're continuing to optimize the capital structure, we started that work in 2023. So, during the quarter we paid down a little bit more than NOK100 million on one of the loans from the reconstruction which were provided by Norwegian institutions. So, kind of work is ongoing. And then as you know the Board has proposed to the Annual General Meeting to pay a dividend in 2024 of NOK0.60. However, as you all know, that is subject to approval from holders of our debt or bondholders. That process is ongoing. And I think we can -- the latest time that should be payable will be when the last of the older bonds mature, which is 2026. But we're also at the same time continuing to look into that and we think that is a good level for the business in terms of paying a reasonable dividend given the solid balance sheet position of the company. And then lastly, the cash flow, as I said, growing by nearly NOK1 billion, very strong cash flow from operating activities, NOK3.1 billion positive. That is mostly driven by strong sales in the business where we're kind of moving cash from sales and also a very low holdback. The holdback is no longer an issue for Norwegian. We are at a normal level between 10% and 20%, which is really effectively the processing time of getting most of these payments done. So, that's a good situation. Investment activity is NOK1.3 billion out of which NOK1 billion is the payment for the Wideroe. So, that's in good process. And then we have the traditional financing activities. So, ending up then with a ending cash balance of NOK10.4 billion which since this was reported has grown somewhat. So, we are still on a good footing. And I think overall, from a pure financial point of view, we are on plan on most of our KPIs when it comes to our financial performance. And we think overall it is a good and robust quarter for Norwegian. Thank you.
Geir Karlsen: Okay. So, let's discuss a little bit Wideroe. As I said, we joined forces with Wideroe in January. It has been working very well. You can probably hear that I'm a little bit excited about this core partnership [ph]. It is a complementary route network that we have. We are not competitors. And we will try to combine these two networks in a better way than what we have been doing before we joined forces with Wideroe. Seasonality as I discussed a little bit earlier is one -- Wideroe is having one-fifth of the seasonality compared to what we have in Norwegian, which is also a very good thing. The PSO tender kicked in April 1. It is looking very good. The Norwegian government has reduced the max ticket prices with 50%. Meaning that it should increase the traffic flow. Looking at the bookings in Wideroe today into the PSO routes, PSO network, the bookings are 30% higher today compared to the same time last year. So, it clearly shows that it has an effect what the Norwegian government has done. Also so, as I said for Norwegian if we look three months back, looking into the first quarter, we have actually performed better than anticipated and the same is the situation for Wideroe. Wideroe have, in my opinion, done a great job securing their fuel costs going forward as well, 80% secured for the remaining part of 2024, 40% for 2025. I thought that we had done a quite good job in Norwegian hedging the fuel. Well, Wideroe have done even a better job. So that's a little bit interesting. And then on -- even better, if you look at the interlining traffic between the two airlines, that interlining traffic has increased by 42% in the quarter compared to last year. So this shows that what we are now in the process of doing is already starting to give an effect for the two companies in combination. If you look at the synergies that we have been promising to achieve, as you can see on the right-hand side here this is the areas. This is an illustration more than the exact numbers we are looking into. But we are taking out synergies going forward on the technical side of the business finance, procurement, ground handling not at least -- ground handling is a big part of Wideroe close to 1,800 employees, and they are now serving us big time Norwegian in Norway, and this is definitely a synergy we are talking. The group fleet review what -- how can we combine the two fleets in the two companies in the best way. And not at least on the commercial side, interlining side, aligning the two network is as it shows here approximately 50% of the synergies that we are planning to take out. We are already way into the process of working on the synergies. You will see our results already in 2024, but the full effect maybe especially on the commercial side will be taken out during 2025, because after all we have had the summer program for sale for quite a while in both airlines, but it looks good. I think we are definitely sticking with the -- in excess of NOK 300 million in synergies. And then time will show how we will end up. On the Norwegian side, there is a -- we have a really good push on the cost side, efficiency side in the company. I talked about that last quarter as well. I'm not going to repeat, but this is the key areas that we have been working on. On time, I have mentioned earlier we are doing well. It's all about not kind of falling asleep, it's just to keep on pushing on it and make sure that we are on the list. By the list, I mean, the top five in Europe should be the target throughout at least what I call the summer season. It is tough to keep those levels in, let's say, in January, February especially. But for the rest of the year we should be all the way up there. Handling and airports is something that we have done quite a lot of changes on throughout the last year. We in-sourced what we call front of house at Gardermoen last year. We have done the same in Copenhagen starting from April one this year. It shows -- we will have the effects that we have been looking for. We have also in-sourced full ground handling in two airports in Spain this year, which is also working quite well. And we have renegotiated a massive number of contracts throughout the last year on ground handling on airport charges that is giving us an effect now full effect into 2024 and going forward. Customer service. I think we are 30%, 40% more efficient on customer service today compared to two years back. And this is all about serving the customers better and in a more efficient way. And I think we are definitely on the right track. There is more to gain on that side, but we are on the track. Engine maintenance, as I have been mentioning before, we have changed vendor. We have left Lufthansa and gone over to GE. It's giving us significant cost savings compared to the alternative, which would have been to stay with Lufthansa. And the full effect is from 2024 and also going forward. Base structure. We are trying to optimize the base structure both from a cost side level of the company but also on the network side. And as I said, opening up bases in Riga, we are opening up a summer base in Palma de Mallorca this summer. We are keeping Barcelona as a 12-months base. And we have also said that, we are going to open up a 12-month base in the Canary Islands from this fall. And that was very well-received by our Spanish colleagues. And think about it guys, Spain for us today is a very important market. We have close to 1,000 employees today in Spain all included. Aircraft optimization. That applies to harmonizing the specification that we have on the aircraft, both from a CapEx point of view and on from an OpEx point of view. And we are expecting to see significant cost savings going forward on the OpEx side. And we have also renegotiated the purchase price, adjusting the specifications on the aircraft taking down the CapEx. We have, as I said, been looking into the MAX 10. MAX 10 for Norwegian will have a configuration with 225 seats. We think that the MAX 10 is the right thing to go for and we will probably spend or use maybe all the 30 options buying MAX 10. By obvious reasons, it will take a while in our opinion before the first MAX 10 can actually deliver from Boeing. So, it is a few years down the road. This shows you that this is a very high focus because it is extremely important for a company like Norwegian to be competitive on the cost side. Of course, the competition out there is brutal. Then on the fleet side. This is a slight concern we have to say. The production level at Boeing on 737 MAX 8 has come down significantly over the last couple of months and I'm sure you have all read the news. Into the summer, we are saying that we are going to fly 87 aircraft, deliveries from Boeing from now until the summer is very limited into Norwegian. We took delivery of the second last aircraft into the summer yesterday and it arrived Copenhagen, I think very early in this morning to add. So, by that we have one remaining delivery before the summer that will take place in early June as it looks today. And we are comfortable that that will happen. Going forward, we are concerned on deliveries from Boeing. And -- but the good thing in all this is that we have a fleet today that are leased and we have redeliveries over the next years that we can extend. We started to extend 737, 800s in 2022. We did it in 2023 and we have also done it in 2024. And this is something we will absolutely also continue to do into the next two, three years. Why two, three years? Yes, because I think it will be at least two years until we can see the production level at Boeing at the level they want it to be. So this is a concern. You don't have the same issue but we also have an issue on the GTF engines on the 320s, which will also take capacity out of the market. I don't know for how long, but definitely for a year or two as we see it. So, there will be a capacity constraint, I would say for a while. It's not all bad in reality because it just means that there will be less capacity flowing into the market, which will support the performance on yield and RASK that we are currently seeing. We have paid in NOK 3.4 billion into this aircraft order. We are extremely confident that we were able to finance these aircraft. We have a massive demand from banks and leasing houses already that are lining up to be part of the financing package going forward. Sustainability, we are continuing the work. There is not really a lot of news this quarter but we'd like to mention it anyway. We saw a 10% reduction in emissions on per passenger kilometer in the quarter compared to last year. The major reason for that is actually that we have full aircraft and high load. We are flying more MAXs today than what we did last year. And we are flying slightly longer as well. So that helps. We are a member of A4E Airlines for Europe, which consists of most of the European airlines. And that's a group that we then used to push into EU on sustainability on making incentives to start production or increase the production of sustainable aviation fuel. And we are doing also the same here in Norway to the regulatories. We have been investing into Norsk e-Fuel. Both we have investing and we have also agreed on an off-take agreement when the first liter, first ton is coming out of that facility. So we're just continuing the work that we have started many years ago on sustainability. Lastly on guiding. I think capacity is more or less exactly the same as we guided on last year. So it's actually EBIT and CASK. We are under pressure on the cost side. We have a weakening local currency the Norwegian krona, which is hitting us, not only on fuel but on other parts of the cost base that we have as well. But we are sticking with an EBIT guidance of NOK 2.5 billion to NOK 3.2 billion with the same currency assumptions as we used last quarter, very important to note. This is excluding Wideroe. From next quarter, we will include Wideroe in the guiding. We have said since we did the Wideroe transaction that we think that you can – if you want to have a look at the Wideroe or think – have a thought about Wideroe figures today, we have said that you should then estimate the historical EBIT percentage, which is in the area of 5%. That is what we can say today and then we will update you next quarter. Jesper, I think that was it.
Jesper Hatletveit: Okay. Can go into the questions.
Geir Karlsen: Yes.
A - Jesper Hatletveit: Okay. We then open up for some questions. We'll start with the audience. Please state your name and where you're from. Start with Hans Jorgen.
Hans Jorgen Elnaes: Hans Jorgen Elnaes, Winair. Two questions for me. With relation to Boeing and the concerns of the deliveries delays, what I said in the investor call yesterday was that they expected to reach 50 aircraft per month maybe during 2025. But would you be able to maybe utilize some of the Wideroe fleet on some domestic routes to release some of your 737s to be used on other more profitable European routes? And the second question is you are going to open more bases outside the Nordics. Will that signal that you are also looking for more intra-European routes to compete with the Ryanair easyJet and others in Europe not flying between the Nordics and Spain for instance.
Geir Karlsen: The first question I think on the fee composition between Wideroe and Norwegian, that is a part of the synergy project that we are running. I mean we have already done some changes between the two networks already in effect. Could we kind of use each other's fleet across the airlines? Yes, absolutely. So it is something that we are looking into. And you are pointing to kind of the areas that we are looking into. But we haven't really taken any decision on it yet, because Wideroe has the summer production already planned so do we. So this will be something that we are looking into at the earliest next winter and then into the summer of 2025. On the other question, the Riga base for example is a base is our first move out of the Nordics, where we are going to fly from Riga to another destination outside of the Nordics. The bookings are looking very promising. It's not a massive it's two aircraft. We are going to touch the Nordics. But we're also flying to Montenegro and to Greece to start with. It's what we call a test rocket we are sending up. So far, it works. The same with the Germany, Spain production, also promising. And hopefully, this will start a process where we are going to build on it. And I think you will see in 2025 more growth outside of the Nordics.
Jesper Hatletveit: Okay. Any more questions from the audience? Okay. We'll start with some questions from the web then. I'll start with Stephen Furlong from Davy Capital Markets. Can you talk about broad plans for fleet deployment to 2030 growth versus replacement and the financing options that we are considering?
Geir Karlsen: What was the second one?
Jesper Hatletveit: Growth versus replacement how many new aircraft versus -- or call it how many actual aircraft versus just replacement of the fleet and how we're financing the -- for the others.
Geir Karlsen: Fleet deployment until 2030 that's not an easy one. And if you -- as you are saying that Boeing can produce 50 aircraft 50 737 MAX into 2025, that's very good news. That means that we will start to take a lot more MAXs over the next two years. We are not planning for that, let's call it, we are not planning for Boeing getting back to let's say even a 40 aircraft production in 2025. So we are looking into all the scheduled redeliveries for the next three years to extend a lot of it. That's what we are working on. And then time will show how many -- how we are doing it. We have a 50 aircraft order with Boeing, plus 30 auctions. We will definitely take delivery of the 50. And I think that it's pretty sure that we are going to take the 30 auctions as well. And then, we are looking into the MAX 10. So that's what we can say on that one.
Jesper Hatletveit: Okay. Over to question from Axel Jacobsen and keeping to Boeing. Is it possible to give any color on the compensation we get from Boeing for the delays that we're currently incurring?
Geir Karlsen: Not really, but it is part of a purchase agreement that you will get compensated after a certain number of days and then you will have a conversation thereafter on a kind of a daily rate.
Jesper Hatletveit: Okay. Moving over to a question from Ole Martin Westgaard and DNB markets. How do you see the competition landscape and capacity growth within the Nordics at the current markets?
Geir Karlsen: Well if you look at the capacity flying in the Nordics today, it hasn't really changed that much. So even if you're seeing the capacity constraints with Boeing and on the GTF side, if we look at the capacity flying in the Nordics, it's pretty much the same. It hasn't really reduced. So the competition, the competitive landscape I would say is not completely unchanged, but there's not a lot of changes.
Jesper Hatletveit: Okay. Can you be a bit more specific on the cost of the ramp-up in Q1 versus Q2 relative to last year? Are you able to do that?
Hans-Jorgen Wibstad: Yes. Well, I think as we are increasing our capacity quite a bit as we have shown. And it mostly to do with the recruitment the training of the crew as I mentioned in the kind of column showing an OpEx increase of NOK 300 million. Half of that is related to additional crew cost, which is the training and the ramp-up of the crew. That is the most material impact on the ramp-up.
Jesper Hatletveit: Maybe, you can say something on the financing there, because I think that was the question, we didn't answer.
Hans-Jorgen Wibstad: Yes. I can also do that, on the first question. Yes, we're working very -- as Geir mentioned, we have -- we are right now, discussing with lessors and financiers of the aircraft to finance the 50 plus potential additional 30 aircraft. That is going very well. We are getting very attractive offers in. And it will be a combination of operational leasing deals, and finance leasing deals. So we haven't quite made up our mind. We said, 70-30 in favor of owned versus leased. That's something we are juggling with, and which we will work to optimize the optimal -- the best possible structure, with the lowest possible cost for Norwegian combined, with making sure that we maintain the strength of the balance sheet. So, it's looking really well and we're very confident about, how we're going to finance this order.
Jesper Hatletveit: Okay. Last question from Ole Martin. "You reiterate your guidance flat CASK ex-fuel for the current year versus 2023. Can you comment on, what you see as underlying cost inflation at the moment?"
Geir Karlsen: Yes, we are guiding a flat CASK. I have been through in the presentation, as some of the kind of the areas that we are working on. On other areas, we had a push on cost increases. One is for example, salaries, throughout the organization including the cabin crew, including the pilots in the different countries. And we will have a cost increase on those areas. That means, that we will have to do cost savings and cost reductions, on other areas. I think even if we are one area for example, even if we are -- we will have salary increases for the 2024 and 2025. At the same time, if you look at what I call the crew efficiency for the company, we have a 20% to 30% higher crew efficiency today, than we had two years ago. And that is kind of compensating, a little bit for the salary increases. And we have other areas, with similar effects really.
Jesper Hatletveit: Okay. Move to the final two questions of the day. They come from Achal Kumar at HSBC. "Booking curve, advanced sale. How do you see the booking window versus what we had after COVID-19, and what we had before COVID-19? Is it normalized at this level?"
Geir Karlsen: It has come out. The booking curve has come out to a certain degree. It's not back to where it were back before the pandemic, but it has come out. And we're looking at -- even if we have increased the capacity, with 15% throughout the summer, the load factor the number of tickets we have sold is on the same load meaning -- that means, that we had sold what did I say, between 300,000 and 350,000 tickets more today, than the same day last year. So slightly out, but not much.
Jesper Hatletveit: Okay. Final question, from Hym [ph]. "Any thoughts, on ancillary business target for the years to come on ancillaries?"
Geir Karlsen: The target is higher than previous years.
Jesper Hatletveit: Okay. I think we have no further questions. So, we conclude the session there. Thank you very much.
Geir Karlsen: Thank you.